Operator: Good day, and welcome to the Lindblad Expeditions Inc. First Quarter 2022 Financial Results Conference Call.  Please note, this event is being recorded. I would now like to turn the conference over to Mr. Craig Felenstein. Please go ahead, sir. 
Craig Felenstein: Thank you, Chuck. Good morning, everyone, and thank you for joining us for Lindblad's 2022 First Quarter Earnings Call. With me on the call today is Dolf Berle, Lindblad's Chief Executive Officer. Dolf will begin with some opening comments, and then I will follow with some details on our financial results and liquidity before we open the call for Q&A. You can find our latest earnings release in the Investor Relations section of our website.  Before we get started, let me remind everyone that the company's comments today may include forward-looking statements. Those expectations are subject to risks and uncertainties that may cause actual results and performance to be materially different from these expectations. The company cannot guarantee the accuracy of any forecast or estimates, and we undertake no obligation to update any such forward-looking statements. If you would like more information on the risks involved in forward-looking statements, please see the company's SEC filings.  In addition, our comments may reference non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measures and other associated disclosures are contained in the company's earnings release. And with that out of the way, let me turn the call over to Dolf. 
Dolf Berle: Thanks, Craig, and good morning, everyone, and thanks for joining us today. I recently pinned the letter to our shareholders for our annual report, and I started with an expression of gratitude. Gratitude is the leading sentiment that I feel for our tremendously hard-working team. I also want to express gratitude to our many partners in the travel industry across the world who help us execute our business. And perhaps most importantly, I want to convey thanks to our guests who have been so loyal and steadfast in their zeal for expedition travel with Lindblad Expeditions as we navigate this final phase of ramping back up to full operations as a company.  You may recall that at the end of 2021, we had 9 of our 10 owned ships back in action, and I'm happy to report that starting with the Orion's April trips to French Polynesia, all of our ships are back to taking guests to the world's remarkable destinations. Having all our owned ships sailing and all of our land companies back to operating in nearly all their key geographies is something that we have worked for a long time to achieve. This accomplishment, combined with the strength of future bookings, which I will describe further in a few minutes, are sources of great optimism for our team. Q1 was metaphorically, a tale of 2 cities quarter for us.  Let me begin with some very positive highlights. The Antarctic season was a great success. Unlike many other companies, we were able to complete all voyages in our schedule despite the rapid spread of the Omicron variant at the time. We maintained our strict protocols with regard to vaccination requirements, pre-embarkation testing, daily symptom checks, onboard crew testing, cleaning routines and mask requirements in common areas. And as a result, we saw very few cases of COVID on our ships and those that did occur were mild. Our new state-of-the-art polar ships, the National Geographic Endurance and the National Geographic Resolution performed even better than we expected from a marine and technical perspective.  We have been particularly excited about what the Expo design has meant for handling the sometimes tumultuous drag passage. And the ship's Polar Ice Class 5 rating has allowed us to explore deeper into the ICE than ever before. This provides our expedition staff opportunities to deliver even more exciting guest experiences from an expedition content standpoint. Also, guest feedback has been extremely positive with regard to the quality of food, beverage and hotel accommodations aboard these ships. The very positive PR and social media commentary associated with these new ships meant that we saw booking levels increase over the course of last season. And we're well on our way to completely booking these ships for the upcoming 2022, 2023 Antarctic season.  There's perhaps no better way to cap off the comments related to these new ships than to share with you a couple of examples of what their advanced capabilities have meant and will mean for the future. You may recall that as I described in the last earnings call, our guests were able to disembark onto the almost never visited Peter One Island in Antarctica and also see a large pot of Fin whales from the Endurance. These were phenomena that were previously almost unheard of in our long history. And they were a direct result of the Polar Class 5 capabilities, which have broadened the range of environments in which the ship can operate. A further demonstration of these capabilities is now underway as we find that we are able to explore deeper along routes in the Northwest passage in the Arctic, given the ability of these ships to handle the ICE.  What these new ships mean for our guests is that they will have the ability to see more wildlife and experience these polar regions in the different light, snow and ice conditions that are inherent in the different phases of the polar seasons. For wildlife and photographic enthusiasts, this presents a range of new possibilities and thrills. While it was a very successful quarter across our ships operationally, the Omicron variant did impact our overall occupancy and financial results. Craig will provide some more color in a moment, but we did see a meaningful number of guests in Q1 and to a lesser extent, in Q2 opt to move their trips to later in 2022 or 2023, while cancellation rates and cash refunds were relatively low, a fair amount of revenue was rescheduled to later dates.  Speaking of future booking levels, we continue to be very pleased with the pace of bookings for both the back half of 2022 and the full year 2023. When compared with the same date in 2019, which is most relevant, given it was pre-pandemic, bookings for the back half of 2022 are 50% ahead of bookings for what was the back half of 2019 and bookings for the full year 2023 are 32% ahead of bookings for what was the full year 2020. These strong growth numbers reflect our increased capacity, the positive impact of guests who have been rescheduled from prior periods and a robust booking environment with particular strength in Alaska and Antarctica across both new and existing ships.  The growth in bookings during the second half of the year would have been even stronger if not for the impact of the Russian invasion of Ukraine. Over the course of Q2, Q3 and Q4, we had 8 voyages scheduled to touch Russia with most nearly sold out at strong pricing levels, including several high-demand trips to the Northeast passage. We canceled all of these voyages and in keeping with our tradition of staying nimble, we rerouted these expeditions to other itineraries. I'm happy to say that the majority of our guest opt guests opted to remain booked with us either rescheduling for alternative trips such as the Northwest passage or waiting to see what future travel opportunities might appeal to them.  We are also seeing really strong booking momentum across our land companies as guests want to explore all the world has to offer after being limited these past several years. We dramatically increased our addressable market last year with the acquisition of the line Cycling and Adventure off the beaten path and classic journeys and the pent-up demand to travel with these companies as well as natural habitat is evident. Growing these land companies is an important part of our strategy towards becoming the leading adventure travel platform company in the world.  An important part of reaching our expanded debenture company platform goal are the digital initiatives we are driving inside the company. Since the beginning of the year, we have made significant strides forward in our progress towards launching our new reservation system, and it's targeted for completion by the end of this year. This transition, along with our new CRM and new website and marketing analytics capabilities will bring our marketing sophistication to a whole new level. Since launching our new website last year, we have installed a suite of analytical tools, which helps monitor website search, paid search and social media performance.  Although we are still in the initial phases of utilizing this array of tools, I am confident that we will be able to drive incremental guest traffic to our ships and land companies and do so in a more cost-effective manner as the full power of this technology investment is realized. I'm also excited about some recent developments for our Galapagos in itineraries. First, I'm pleased to announce that we have successfully renewed the Kupo promote midst that allow us to operate our ships in this unique geography for a period of 20 more years. We have a long history with the Galapagos having first taken guests there back in 1967, and I couldn't be happier to be able to continue to visit and also support the islands and its people for decades to come.  The other big development for the Galapagos this past quarter was the marketing launch of the National Geographic Islander 2. A significant portion of her renovation was completed in Denmark last month, and she is on her way to the Galapagos where she will welcome her first guest in August. This replacement for the National Geographic Islander represents a meaningful upgrade in comfort, cabin accommodations and food and beverage capabilities for our guests. This is our first all-suite ship and it will provide spacious and elegant accommodations, along with highly functional expedition capabilities for our guests. The initial response to our marketing of this new vessel from guests and travel agents has been very enthusiastic.  Before finishing, I always like to tell you something about what we are doing towards our mission, which includes educating guests about the planet, pristine environments and the importance of our efforts related to some environmental sustainability. In Q1, we had a highlight, which was to once again welcome the Good Morning America News crew onto one of our ships. In this case, the National Geographic Endeavor 2. She became the host chip for their series in the Galapagos on climate change and biodiversity. The opportunity to be part of educating nearly 4 million people about this remarkable place and our help-apart in helping preserve it was a proud moment for our brand.  In closing, I would like to reiterate the optimism that I have for the adventure travel industry and our company particularly. Guests on our ships and across our land adventures continue to have exhilarating and educational experiences across a variety of offerings. On these trips, one can feel their enthusiasm to be back out in the world in remote and remarkable places and with others who are like-minded. With a strong booking base that is a familiar mix of repeat and new guests and expanded fleet and a diverse family of product offerings, we are poised to capitalize on this enthusiasm in the months and years ahead. I began this call with a theme of gratitude and in closing my portion. Now, I would like to thank you for listening. And now, I'll turn the call over to Craig. 
Craig Felenstein: Thanks, Dolf. It is certainly exciting to have all 10 of our ships back providing unforgettable experiences to our guests. And I would like to once again thank everyone across our fleet, operations and offices who work so hard to make this possible. is their diligence and dedication that has enabled us to ramp our operations so quickly and successfully and which has positioned us to begin realizing the expanded earnings power of the company.  As expected, first quarter results were significantly impacted by the Omicron variant, but we have ample liquidity to weather any immediate headwinds as we further ramp up operations. More importantly, the investments we have made during the pandemic to expand our fleet capacity and diversify our product offerings has significantly increased our earnings potential from pre-pandemic levels. So we are primed to capitalize on the growing demand for authentic adventure travel.  During the quarter, we further strengthened our balance sheet with the refinancing of our existing term loan, including the Main Street facility as well as our revolving credit facility through the issuance of 6.75% notes that mature in 2027. As we mentioned previously, the issuance was over 7x subscribed, which speaks to the attractiveness of our business model and the earnings power of the business coming out of the pandemic. This issuance, along with the new undrawn $45 million revolving credit facility also maturing in 2027, provides us additional financial flexibility as we ramp operations and explore additional growth opportunities.  Turning to our current financial position overall. We ended the first quarter with $155 million in unrestricted cash and $30 million in restricted cash, primarily related to deposits on voyages that originate in the United States and credit card reserves. The $185 million of total cash increased $12 million versus the end of the year, reflecting $8.5 million in net cash received for the debt refinancing and cash from operations of $9.9 million driven by positive earnings at the ship level, significant guest payments for upcoming voyages and deposits for future travel, partially offset by increased operating cash usage as we prepared additional shifts for sailing and increased marketing spend to drive future bookings.  The change in cash during the quarter also reflected principal and interest payments of $9.4 million and CapEx spending of $7.5 million, primarily due to renovations on the National Geographic Islander 2 and spending on our digital initiatives. Looking at the current booking environment, as Dolf mentioned, we continue to see significant reservations for future travel. As we discussed on our last call, we did see a ratchet up in cancellations in December and early January related to the Omicron variant for travelers booked in the first half of 2022, but the majority of those guests have already rebooked for future travel. Since early January, bookings every week have significantly exceeded bookings in the same week in 2019, and there is no question that there is significant pent-up demand to get out and explore the world's amazing geographies. Turning to the P&L. Lindblad delivered first quarter revenue of $67.8 million versus only $1.8 million in the same period a year ago. The current quarter included $50.3 million at the Lindblad segment from operating shifts predominantly in Antarctica, the Galapagos in Central America and $17.6 million at our land experience segment, led by natural habitats, Latin America and Northern light strips. The revenue in the quarter did face headwinds from the guests who rescheduled their voyages and trips due to Omicron as well as from the cancellation of 3 voyages in Baha due to permit timing related to governmental changes in Mexico.  The EBITDA loss of $21.2 million during the first quarter was in line with the loss generated a year ago as the revenue in the current year was offset by an increase of $66.3 million in operating expenses before depreciation and amortization, interest and taxes. The higher cost base was led by $49.7 million increase in cost of tours, primarily related to the ramp and ship expeditions, which include charter flights as part of our profitable Antarctica season and higher fuel costs due to increased pricing and usage. The higher cost of tours also included increased spending as we prepared additional shifts for operations and expenses related to operating additional land-based trips at Natural Habitat.  Sales and marketing costs increased $9.8 million versus the first quarter a year ago due to higher commissions related to the increase in revenue and from increased marketing spend to drive future bookings focusing on search, rich media, video, social advertising and direct mail as well as increased outreach through trade advertising and travel advisers. This marketing spend is one of the drivers behind the booking pace we are seeing for late 2002 and 2023. We have also further ramped up spending on our digital initiatives, including additional development of our new reservation system and CRM capabilities.  G&A spending increased $6.8 million, excluding stock-based compensation and onetime items versus the first quarter a year ago, primarily due to higher personnel costs as we ramp operations and increased credit card commissions related to final payments for upcoming itineraries and higher deposits on new reservations for future travel. The higher G&A also reflects the inclusion of a full quarter of expenses for DeVine and off the beaten path, which were acquired in the first quarter a year ago and Classic Journeys, which was acquired in October of 2021. These acquired businesses are seasonal with the bulk of their profitability in the spring and summer months.  Total company net loss available to common stockholders in the quarter was $43 million or $0.85 per diluted share versus net loss available to common stockholders of $34.5 million or $0.66 per diluted share reported in the first quarter a year ago. The $8.5 million decline reflects the ramp in operations and $11.6 million in other income due to the utilization of the remainder of the CERTS grant, which were more than offset by investments in future growth, $10.9 million of costs related to the debt refinancing, $3 million of additional interest expense associated with increased borrowings, mostly related to the delivery of the National Geographic resolution as well as higher rates and a $3 million increase in depreciation related primarily to the launch of the National Geographic Resolution in September of 2021, along with accelerated depreciation on the National Geographic Islander, which is being replaced later this year.  Looking ahead briefly to the rest of 2022, we are excited to have all of our own ships operating again. Q2 should see a dramatic improvement from Q1, but will still be impacted by the Omicron-related rescheduling from early in the year as well as changes to itineraries on the Explorer and the Endurance due to the Russia Ukraine conflict. We do anticipate returning to profitability in Q3 despite the rescheduling of voyages across the Endurance Steel Rin and the resolution due to this conflict in the third quarter.  Overall, we couldn't be more excited by the operating momentum across our fleet and diverse land businesses. Much of the world has reopened and the key strategic advantages we have built, most notably the size of our shifts and the relationships we have cultivated globally over the last 4 decades have enabled us to ramp our operations quickly and effectively. Most importantly, the guest response to the resumption of travel has been phenomenal, and the future booking trends highlight the significant demand to return to exploring these amazing locations. While it will still take some time to surpass pre-pandemic levels, with a strong cash position supporting an expanded fleet and a broader platform of growth businesses, we are well situated to deliver increased shareholder value in the months and years ahead.  Thank you for your time this morning. Dolf, and I would be happy to answer any questions you may have. 
Operator: We will now begin the question-and-answer session.  And the first question will come from Steven Wieczynski with Stifel. Please go ahead.
Steven Wieczynski: Yes. Hey, guys, good morning. So Craig, or Dolf, wondering if you could maybe help us break down the $21 million EBITDA loss in the quarter. And what I mean by that is wondering if you could help us with how that -- how the cadence of those losses looked through the quarter? Just trying to understand if the cadence from an EBITDA perspective, improved through the quarter and then maybe how April -- I'm not sure I'm going to say this, but how April looked as well? And I guess the underlying question here is, Craig, you talked about turning EBITDA positive in the third quarter. And then maybe how we should think about you guys turning free cash flow positive and maybe when that inflection point can happen as well. 
Craig Felenstein: Sure. Thanks, Steve. A few things there to unpack. But let's start with the first quarter and how it kind of played out over a several month period. So I'm actually going to harken back to November. When we're sitting here in November of 2021, we actually were very close to being profitable in the first quarter of 2022. That was prior to the Omicron variant. Once the Ometron variant hit, there was a significant displacement of guests in the first quarter and the second quarter towards the end of 2022, but really the early part of 2023.  So once that happens, where you normally would see some additional revenue coming into the quarter for the first quarter, that obviously did not happen and we were stepping backwards. The second thing that happened in the quarter that was unexpected was the Russia, Ukraine conflict. When the Russia-Ukraine conflict kicked in, fuel prices obviously spiked, which had an implication for us on the cost side of the business that we weren't anticipating. That obviously took our expectations for Q1 down because of that change.  The last thing, and I touched upon this in my remarks, was the venture was operating in Baja, California, and there were 3 voyages that unfortunately needed to be canceled because of some permit approvals that took a little while to get going. We were able to secure those for the end of the season, but there were 3 voyages that had to be canceled. So the cadence, unfortunately, for the first quarter went backwards for most of the quarter because of those items. However, the booking trends in the quarter were the exact opposite. The booking trends for the full year 2022 and into 2023, actually reversed course really after the, I would say, second week of January, where we start to see really nice increases pretty steadily throughout the quarter and that has continued throughout what I would say is April.  The other side of your question related to free cash flow. And for us, it really is a byproduct, Steve, of the deposits and final payments that we're getting for future travel. There has been several months throughout 2021 as well as several months, frankly, within the first quarter, where we were free cash flow positive because the amount of payments that came in the door was so positive for us, and we were generating purely at the operational level at the ship level, positive free cash flow. -- layer in the additional marketing and the overhead of the company, that wasn't the case. But at a purely ship level, we were already there.  So we would expect that to continue to ramp. The second quarter is traditionally a little slower quarter for us in general, and we have some of these overlying concerns that are going to kind of bleed into the second quarter. But certainly, once we get to the third quarter, we expect to get back to what I would say not quite normal levels yet, but certainly a really strong positive EBITDA as well as some strong free cash flow. 
Steven Wieczynski: That's great color, Craig. Appreciate that. So the one part of that question, I don't think you answered I'm not sure you're going to answer it. But from an EBITDA perspective, did April look better than March? 
Craig Felenstein: Yes, I'm not going to get specific with regards to a month. And so much of that, Steve, for us depends on where the ships are operating and are they in transit, right? So a lot of our ships in March, for example, are traversing from what I would say is Antarctica up to their next destination. So there's a little bit of a challenge when it comes to that in terms of just transit costs. And then in April, for example, the Orion was transiting down to French Polynesia. So there's nuances to it in terms of operational months that make comparisons a little bit difficult. But certainly, the business is improving as we move forward. 
Steven Wieczynski: Okay. And then second question, are asked a ton of questions. But second question would be, you talked about the cadence of bookings that has sequentially improved on a weekly basis all the way through April, I think you mentioned. And I just want to understand if there have been any material or changes in booking patterns, meaning are folks booking heavily or more heavy in certain jurisdictions or the booking patterns pretty similar to where they were 5 months ago or 6 months ago? 
Dolf Berle: Yes. I would say they've changed a little bit. And what I mean by change that they've almost reverted back to historical levels. If you recall on the last quarter call, what I said is what we're seeing a little bit at that time was you were seeing more bookings for the short term and the long term, which kept the average kind of booking window at around that 9-month level. Now we've kind of seen a little bit less of that lately, and it's more traditional levels in terms of what you're seeing in terms of that 9-month window just being kind of the average. We're also seeing what I would say is traditional levels of repeat versus new guests, the repeat guests that are coming in are somewhere in the high 37%, 38% range, which is in line with what we've seen historically. So booking patterns are returning to more normalized levels. There's obviously nuances when you have a cancellation of voyages like we saw with Russia for the third and second quarters. But for the most part, the bookings are back to where we would have seen them say, pre-pandemic levels. 
Steven Wieczynski: Okay, great. Thanks, guys, I appreciate it. 
Dolf Berle: Thank you.
Operator: The next question will come from Tyler Batory with Oppenheimer. Please go ahead.
Jonathan Thibodeaux: Good morning, guys. This is Jonathan on for Tyler. I wanted to follow up on that booking pattern discussion and maybe ask it a different way. I'm wondering if you've seen any kind of sentiment shift in recent weeks in terms of guests who are maybe hesitant on booking going back into the inbound pool or demand spikes for different itinerary. Any additional color on that front? 
Dolf Berle: Yes. Thanks for the question, Jonathan. As Craig referenced, we're really seeing a return to the kind of patterns that we saw pre-pandemic. You may recall during the pandemic that there was a really strong push for the U.S.-based itineraries, specifically Alaska. But we're seeing now a balance that's returning to kind of rest of the world in addition to what we anticipate will be a good Alaska season. I think that -- we did see a little bit of an upshift or an uptick in booking patterns when the mask mandate was released. I think that sort of sent a wave of optimism through Guess across our industry, quite frankly. And so the guests still are sensitive to medical advice, but we have definitely seen a return to what we would consider more pre-pandemic types of booking behaviors, questions, interest in various itineraries versus any time previous to these last months or so. 
Jonathan Thibodeaux: Okay, thank you, Dolf. And then you highlighted the desire to get out and explore it from guests. And I'm curious if you could provide some color on the early guest feedback. And do you think there's been a kind of structural change in which an increased value is put on the product offering or expedition travel in general? 
Dolf Berle: Sure. I mean we -- some of it is a little bit intangible, which is just the -- what people are experiencing on the ships and how they're providing very strong guest feedback on our common cards. And of course, our folks on the ships are themselves just excited to be back in the action. So I think the way that I feel that it's going is that these trips represent almost a coming out party for people who have been yearning to get out and explore. And once they're on the ships, and they're in the safe bubble that we're providing in terms of COVID protection, they really have just a chance to feel, I think, quite a bit different than they might have when in their back where they live. And so there is a sentiment change. We also see signs of that when we see what people are doing on our -- on the web and what they're clicking on, what they're excited about, how they're spending their time there, looking at video of some of the recent voyages. So all the indications are that public sentiment is shifting and that we've seen really a change, honestly, in the last month more so than any time in the last 12. 
Jonathan Thibodeaux: That's great. And then one last one, if I could. You guys recently unveiled and here to. And I'm wondering if there's any color you can provide on that process on how and when and if it changes your propensity or willingness, I should say, to do more of those deals in the future compared with new hardware builds? 
Craig Felenstein: I'll handle the second part of the question with regards to new hardware builds, and Dolf, can handle the response so far. So the first thing I would say is when it comes to replacement hardware, there aren't any plans to replace any other hardware moving forward. The -- it was an opportunity that we saw during the pandemic to acquire a vessel at an attractive price. We knew at some point the Islander 2 would have to be replaced, and this was a way to do so relatively economically and also provide a shift that would add or enhance where we were with the Islander 1, which will allow us to generate more revenue from the Islander 2 moving forward.  With regards to new builds, we've been pretty, I would say, consistent in our approach to new builds, which is we believe that the expedition travel space is only going to continue to grow. The demand for the kind of experiences that we provide has only ratcheted up prior to the pandemic, and it exacerbated itself from there because people want to get out and see what the world has to offer. We do continue to evaluate the opportunities to add to our fleet, whether it be through new build process or whether it be through acquisitions, and we balance that with all the other opportunities that we have for growth moving forward. So nothing obviously new to announce today, but we'll continue to explore new growth opportunities at every angle. 
Dolf Berle: And with regard to the Islander 2 specifically, this was a shift that we have been looking a long time to find. And it's the same number of guests that the islander -- the original Islander had. So we maintain that small ship advantage in terms of its agility, ability to go places and find codes where there's fantastic snorkeling and where possible access to the islands. And so the expedition capability is just as good as what we've had in the past, which is fundamental to the guest experience. But the real upgrade is the quality of the cabins and accommodations. And the fact that it's an all-suite shift, we do enjoy a reasonably good family business down in the Galapagos, and we saw the need for cabin configurations that allowed for more people inside a cabin. And so we think this is going to be a really nice complement to the Endeavor 2, which has been a stronghold for us down there for many years. 
Jonathan Thibodeaux: Great. Very helpful. Thank you for color, guys. That's all for me. 
Dolf Berle: Thanks, Jonathan, 
Operator: The next question will come from Ryan Sundby with William Blair. Please go ahead.
Ryan Sundby: Hey, good morning, guys. Thanks for taking the questions. Just to follow up on the last one there. It sounds like the polar class 5 capabilities have exceeded expectations and maybe opened up options that even you hadn't considered or fully appreciate yet. I know word-of-mouth and repeat visitation or big roles in driving bookings for you guys. So could you maybe just talk a little bit more about in the past, when you introduce something big like this? What kind of tailwinds you've seen over a multiyear period as those guys get to experience that and share it with others. 
Dolf Berle: I think that what I should do is give you the perspective of Sven Lindblad, our founder, who has obviously been part of every ship that has come into the fleet over the course of the last 40-plus years. So Sven will say that this is the most remarkable change in shift capability and technology that he has never experienced. And the reason for that is that it's the combination of the marine capability and also the quality of the hotel and food and beverage and the accommodations.  Specifically related to the marine capability, it's just the way that it can cut through the waters in the Drake Passage, but then also because of the polar ice Class V capabilities, we've been able to go further south than we've ever been able to go before in the west, -- and I mentioned a couple of things in my comments about things that are relative first for us. The -- what that means is that the guests are coming back with the sense of having been explorers.  And they're coming back and what is reflected on their social media and what we hear from them is they feel like they are doing things that other people haven't done and they can talk about them in ways that really capture the whole spirit of being an explorer and because of what we do with the combination of National Geographic and our expedition staff, we're able to really educate people about why certain milestones are significant. -- certain areas we visit are particularly pristine, certain wildlife that they're seeing are things that others maybe haven't seen in such a way. And so I think it's really a whole comprehensive view of what a great expedition adds up to, and these ships deliver on so many fronts. So I know that's sort of a broad answer. But Craig, maybe you'd like to add to that. 
Craig Felenstein: Yes, sure, Ryan. So when you look back to the history of the company, when we launch a new ship, it traditionally generates a fair amount of buzz and you get a fair amount of excitement. And then obviously, when you deliver on the promise of what that ship has to offer, where amount spreads, not only for guests, but also through the travel agent community. It's a little bit interesting this time out because we launched 2 new ships during the pandemic. And as you might imagine, there's excitement on just getting back out to these places alone and the experiences that people can have returning to these amazing locations.  But when you layer on top of that, the guest feedback that we're getting from these shifts it should only build on the momentum and the success that it's had thus far. And that's the anticipation as we move forward and look out towards the Antarctica season for the end of 2022 into 2023. We're really significantly sold already. Now part of that is certainly the byproduct of people postponing trips from the end of 2021 and early 2022. But a part of that is also the -- what I would say, word-of-mouth that's going on right now with regards to these 2 new ships. 
Dolf Berle: Ryan, I probably should have mentioned too, it certainly helped that -- good Morning America was on the Endurance and her kind of inaugural season in Antarctica. And so that reached millions of folks who, I think, sort of caught the thrill of the idea of being down there. 
Ryan Sundby: No, it's great to hear, and it sounds like repeat visitation could maybe even move higher. Maybe just to flip over, if you look at the 8 voyages that were touching Russia, I guess, it sounds like you'll be able to offset some, but maybe not all of that impact with revised itineraries here. So what help us understand how big of an impact that would have on the top and bottom line this year? And then just, I guess, more broadly, have you seen any signs that the conflict may be filling over and having an impact on other itineraries in Europe or orthotics? 
Dolf Berle: Sure. So we're not going to comment specifically on the impact of those voyages because we don't speak to individual voyages. But what I can say is we had over 500 guests booked across these 8 voyages -- and while we were able to rebook for this year, probably close to half of them already. There's a fair amount of folks that are either pushed to next year or still taking that wait-and-see approach. So there is a significant, what I would say, revenue impact associated with changing these voyages around or certainly rescheduling them. And Ryan, I forgot the second part of your question.
Craig Felenstein: When there are other geographies that are being impacted I can comment, if you like. Yes, we're certainly keeping track of that, Ryan. Initially, there was, I think, some concern on the part of guests who were going to be traveling in the Baltic just based on proximity to the conflict. And we did see people redirect a little further east and we saw a bit of a surge as it related to Alaska at that time. But that seems to have now stabilized, and we continue to monitor the situation closely, obviously. And we really haven't seen a change in pattern or sentiment in the last couple of weeks. 
Dolf Berle: What else has been interesting, Ryan, is that when you looked at the booking patterns just globally, people are booking any kind of a trip, there was effectively a 1-week slowdown. When the conflict began, we saw -- we did see a hesitation for that 1 week when bookings really slowed. But the week following, it immediately picked back up and has been very consistent and actually been more positive since that point. So it looks like the desire to travel is only increasing as we've seen. 
Ryan Sundby: Great, thanks for the color, guys. That’s all for me.
Dolf Berle: Thank you. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Craig Felenstein, for any closing remarks. Please go ahead. 
Craig Felenstein: Thanks, Chuck, and thank you, everybody, for joining us today. We appreciate your time. As always, if you have additional follow-up questions, we'd be happy to answer. So please reach out and let us know. Thanks again. 
Dolf Berle: Thanks, everyone. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.